Hirokazu Umeda: Let me start the presentation on the consolidated financial results for the first quarter of FY ‘25, fiscal March 2025 ended June 30, 2024. First, the summary, overall sales increased on increased sales in Connect & Energy as well as currency translation despite decreased sales in lifestyle, automotive and energy. By business, industry energy had positive factors with favorable sales of Generative AI-related products. Lifestyle had negative factors with decreased sales of air to water heat pumps in Europe and consumer electronics in China in vehicle of energy also had negative factors with demand at the Japan factory, continuing to decrease. Adjusted operating profit decreased overall due to decreased profit in Lifestyle, Connect & Energy, despite increased profits in Automotive and Industry. Net profit decreased due mainly to recording of onetime gains in FY ‘24 with the liquidation of Panasonic liquid crystal display. Operating cash flow slightly increased year-on-year, and we will aim to generate further operating cash flows. Regarding the U.S. IRA inflation Reduction Act, we have decided to elect the transferable monetization method for most of the tax credit applicable to FY ‘24. Consequently, the associated cost is recorded in this first quarter. The timing of monetization is scheduled for during or after Q2, which is approximately 2 years ahead of our initial assumptions. This slide describes the impact of the IRA tax credits on our financial results. For the first quarter, we assume to elect the refundable monetization method, which is the same accounting treatment and items as before. As mentioned earlier, we have decided to elect the transferable method for most of the tax credit applicable to FY ‘24. The details of such impact to the first quarter financial results are shown in the middle of this slide. The impact amount to adjusted operating profit is ¥16.2 billion, which includes the associated cost of ¥5.5 billion. On a consolidated basis, sales increased year-on-year by 5% to ¥2,121.7 billion. Sales on constant currency decreased by 2%. Adjusted operating profit decreased to ¥84.3 billion, and operating profit decreased to ¥83.8 billion. Net profit decreased to ¥70.6 billion, due mainly to the impact of recording in FY ‘24 of onetime gains with liquidation of Panasonic liquid crystal display as explained earlier. This is the results by segment. In the following slides, you will see the year-on-year variance analysis of sales and operating profit. This is the sales analysis by segment. In Lifestyle, sales decreased due to lower sales of air to water in Europe and consumer electronics in China as well as lower sales for other segment products. Despite higher sales of such products as electrical construction materials in India, showcases and room air conditioners. In Automotive, sales decreased due to discontinued production of certain models sluggish, sales in China and the impact of reduced production by car manufacturers. In Connect, sales increased in process automation, capturing the recovery tranche of smartphone demand in China as well as increased sales in Gemba Solutions and Avionics. In Industry, sales increased with increased sales all products for Generative AI servers and ICT terminals despite decreased sales of industrial use relays in Europe and China. In Energy, sales in in-vehicle decreased. This is due to the continuing decrease in demand at the Japan factory as well as price revisions, reflecting lower raw material prices and others. Production in North America decreased in the first quarter, adapting to temporary production adjustment, but recovery there is now seen with an increased number of models eligible for IRA tax credit, so favorable sales is expected for Q2 onward. Sales in industrial consumer increased with favorable sales of energy storage systems for data centers driven by the generative AI market. Within other elimination and adjustment, sales decreased for both entertainment and communication and housing. This is the adjusted operating profit analysis by segment. In Lifestyle, Profit decreased due to decreased sales of air to water in Europe, consumer electronics in China and negative impact of exchange rates. Despite increased sales of electric construction materials in India, showcases, room air conditioners and others. In automotive, profit increased due mainly to improved product mix and rationalization despite increased fixed cost and decreased sales. In Connect, profit decreased due to decreased sales of media entertainment, upfront investments in avionics and increased strategic investments in Blue Yonder, despite increased sales of process automation and Gemba solutions. In industry, profit increased due to increased sales of products for generative AI servers, fixed cost reduction and effective yen depreciation. In Energy, profit in in-vehicle decreased, this is due to the impact of decreased production in Japan, increased ramp-up costs for the Wakayama and Kansa factories and recording of the cost of transfer monetization of our tax credit despite improved profitability of the North America factory due mainly to the rationalization of raw materials. Private and industrial consumer increased due to increased sales of energy storage system for data centers serving the generative AI market. This shows the result of the Lifestyle by divisional company. In Living Appliances & Solutions Company, both sales and profit decreased largely affected by lower sales of consumer electronics in China due to market downturn. In heating and ventilation AC company profit decreased largely affected by lower sales of air to water in Europe. This shows our year-on-year operating profit analysis by sector. From the left, decreased profit on lower sales was a decrease factor of ¥7.5 billion. Higher fixed cost was a decrease factor of ¥16.9 billion. This is due mainly to the investments in energy for the business growth as well as the impact of inflation. Net impact of raw materials and logistic prices was an increased factor of ¥12.4 billion. The effect of the price revision, rationalization was also an increased factor of ¥6 billion. Other individual factors, impact of IRA, including the cost of transfer monetization was negative of ¥6.5 billion. The breakdown of Blue Yonder is shown at the bottom right. Adjusted OP on a stand-alone basis decreased by ¥2.3 billion, excluding ForEx impact due to increased strategic and synergy investment. On a consolidated basis, adjusted OP decreased by ¥2.8 billion. Excluding the impact of strategic and synergy investment, AOP increased by ¥0.6 billion. ForEx impact was an increase factor of ¥6.8 billion, mainly in industry and energy. As a result, adjusted OP decreased by ¥8.5 billion. Operating profit decreased by ¥6.6 billion. This shows the cash flows and cash positions on the left of the 3 areas. Shown in blue are the changes, the supply – excuse me. So looking at the cash flows and cash positions on the left, operating cash flows amounted to ¥228 billion, a slight increase year-on-year. Going forward, we will continue to generate further operating cash flows. On the right, net cash was negative of ¥451.6 billion. So this shows an update of the progress made in initiatives for our 3 investment areas, changes from the previous announcement as shown in blue, underlined in blue. There have not been many changes in automotive batteries and supply chain management software businesses. In air quality, and air conditioning business, as I said earlier, our air-to-water business in Europe is facing persistent market slowdown. The graph at the bottom right shows the air to water sales trend since the Q1 of last year. In terms of sales amount and year-on-year change. As shown here, sales decreased significantly in in Q3 last year. We have not been able to return to the recovery trend. However, in the long-term perspective, this market is expected to expand. Therefore, in preparation for future market recovery, we will continue our efforts to enhance our competitiveness through collaborations with such companies as Innova and tado. Finally, I’d like to explain the strategic capital partnership and establishment of a new company regarding Panasonic Connect’s Projector business and related operations announced today. This transaction is to further grow the projector business. The new company will be established based upon the media entertainment business division of Panasonic Connect, in which ORIX Corporation will hold 80% of your shares and Panasonic Connect 20%. Through this partnership, we aim for further growth by leveraging Panasonic Connect’s technological expertise and customer base as well as ORIX investment capability, along with the knowledge and experience cultivated through investments in numerous companies, including manufacturing and large corporations. In addition, this partnership enables continuous R&D investments in hardware technologies as well as execution of inorganic growth strategies such as formulating growth strategic – global strategic alliances. The transfer price is ¥118.5 billion, which will be allocated to Panasonic Connect’s investment area. Sales recorded in FY ‘24 for the business subject to transaction was about ¥77 billion. That concludes my presentation. Thank you for your attention.
A - Hirokazu Umeda: The first questioner is Nakano san from Nikkei Newspaper.
Takashi Nakano: Thank you, Nakano from Nikkei. I hope you can hear me?
Unidentified Company Representative: Yes, we can.
Takashi Nakano: Thank you. My first question. This is related to the news release today or the news item today. The Bank of Japan decided to increase the interest rate, which would most probably impact your policies regarding the assumed interest rates as well as the investment environment. So wonder if you can comment on any possible changes to your policies going forward, financing policy. My second question is in relation to the projector business. I understand the new company will be established. 80% owned by ORIX, 20% by Panasonic Connect. In the case of automotive transfer, the partnership form was with some of the shares being held by Panasonic. Are you going to continue with this approach going forward with possible transfer of business going forward?
Unidentified Company Representative: Thank you for your questions. First, the Bank of Japan today announced 0.25% rate increase. Regarding this, it’s just a matter of timing. In any areas affected by interest rates, I think this is only natural. We are basically financing through yen, and the financial costs should go up. But in the meantime, our profitability approach will be enhanced, so that we can deal solidly with the interest rates context. As for the real term interest, is much lower than the visual rates. And so interest rate difference between Japan and the U.S. will be carefully looked at. Japan and U.S. account for a large portion of our business, and therefore, we’ll be looking at the interest rate environment in the two countries for financing and capital allocation. That’s the answer to your first question. The second question, the projector business, 20% will be owned by Panasonic. The intent is, as I mentioned earlier in my presentation. Panasonic brand will continue to be used for some time and to assure our customers, we want to be solidly involved in the business. So there is a similar approach with automotive. We do have a very good relationship with our customer base as well as in terms of expertise. And in the meantime, ORIX has its own strength. So, both of our strengths will be leveraged so that the projector business itself can grow going forward. So that is the intent of this arrangement. That is all.
Takashi Nakano: Thank you.
Hirokazu Umeda: Thank you. We move on to the next question from Bloomberg, we have Furukawa san.
Yuki Furukawa: Thank you. This is Furukawa, Bloomberg. Thank you very much. On Page 2, IRA tax credit and impact on your financial results and you have chosen to have a transferable monetization. There’s additional cost. Why did you use this method? I’d like to know the reason. It is 2 years earlier to get this capital, but for example we are arriving from before the presidential election in the United States. So if the Trump becomes the president, there could be some concerns on IRA or you need some cash or capital urgently. So this ¥5.5 billion cost of transfer and monetization is this for the FY ‘24 tax credit? This is the point of clarification on that.
Unidentified Company Representative: Thank you for your questions. Initially or last year, we said that we would elect probably the refundable monetization and we said that it would probably take a little more than 2 years. But at the same time, it just happens that we have to think about the counterparties. And the economic rationale, I think we can find the good foundation or reason from the economic perspective. So, based on that, we have chosen or elected to do the transferable monetization. So as for the IRA or our funding situation, they are not related to this decision. So I think it’s reasonable economically to do this transferable monetization of ¥5.5 billion additional costs for FY ‘24, we booked most of the tax credit and it’s for the most of the tax credit, roughly speaking. So in terms of yen, I think there are some differences, but about ¥200 billion level. And by that would be the account for ¥5.5 billion, so it’s about the 3% per year in terms of cost. And right now in the United States, where it’s based upon the U.S. dollars and the interest rate in the United States is like 5.5% in terms of FF interest rate. So when it comes into the company, it’s 10% or higher if you manage it or invest it for 2 years. So it’s economically reasonable. So that’s why we elected the transferable monetization. Thank you.
Yuki Furukawa: Thank you very much.
Hirokazu Umeda: Thank you. We will move to the next question from Toyo Keizai, Maneki-san please.
Unidentified Analyst: Maneki from Toyo Keizai. I have two questions. First on IRA, a follow-up question, if I may. In terms of cash I understand that the timing of cash income is going to change for Q2 onward, maybe no impact on the profit and loss. But on cash flow, what will be the impact. And I understand that this monetization transferable is only for the tax credit for FY ‘24. Any changes for the ensuing years? And my second question is relative to the overall financial results. I understand that many of the segments were suffering back in May, made – you shared with us the assumptions. And I suppose that some of the results were worse than what you were assuming. So could you elaborate on that?
Hirokazu Umeda: As for the refundable tax credit, for the second quarter, we are expecting the income although it’s not certain. So what the impact is going to be – I’m sorry, not refundable, but transferable that is. Now conventionally, for accounting treatment, we have been accounting for that. But in the operating cash flow, it is not incorporated whereas this time with the monetization in the operating cash flow, we should see an increase. As for the use within our capital allocation policy, of course, we can’t make distinctions amongst or the cash flow. But since this is the tax credits originating from the U.S. and therefore, the Kansas plant as well as the investment for – this would be the possible use. For FY ‘25, the assumption of the guidance is the refundable tax credit, as explained during my presentation. As mentioned, our capital allocation is not the reason for that. There is a counterparty. And basically, we are assuming a refundable tax credit method for FY ‘25. So we are electing transferable for the FY ‘25 portion. Now, the overall results, the difference from our assumption. Well, by segment, there are ups and downs. Some weakness was observed in such areas as LAS, China appliances in China. The divisional company in China posted quite a bit of a decline in profit, impacted by the real estate market situation there. It is having an impact on the durable goods as well, more so than we had anticipated. That is one reason for the softening. As for air to water on a year-on-year basis, you might be misled. But if you look at Page 10 in the investment areas on the lower right-hand side, you can see the bar graphs and the dotted line graph starting from Q1 of last fiscal year, from the second quarter, it declined, and in the Q3 of FY ‘24. And in the fourth quarter as well, we saw a flat or decline. And Q1 saw the biggest gap year-on-year. But – as of now, this was within our assumption. As for the second half of the fiscal year, we may have to revisit our projection. As for automotive, reduction in the number of automobiles produced have been announced by our customers, OEMs. Still, we were able to secure profit, although sales suffered. So we are on par with our projection. As for Connect, for Blue Yonder, as I explained in my presentation, we are making investments – strategic investments for growth going forward. And in avionics, investment is in the area of aircraft, the in-flight connections and we’re making investments there. But overall, it is in line with our projection because we have been projecting investments to be made anyway. And as for industry, the factory automation and Gemba or the Generative AI – for Generative AI stronger than we had anticipated is our observation for factory automation, FA. We had been expecting a difficult year, and that remains unchanged. So, in that sense, for industry, a bit better than our projection, for energy. Number-wise, this week, we have to net debt, ¥5.5 billion, the costs associated with the transfer that needs to be taken into consideration, but even excluding that PENA plant in North America, saw a decline – slight decline in production volume. As I explained, the customer production line is modifying the line. And on a temporary basis, we are adjusting our production volume to accommodate that change. But for Q2 onwards, we are expecting to go back to the normal level. And the energy storage system for servers are also included in energy, and that’s doing better than we had anticipated. The onetime cost for the associated with the monetization and transfer. That is reflected in the overall figure. But given that the actual performance is stronger, more or less on a net basis, it’s neutral. That is all. I hope that was helpful.
Operator: Next [indiscernible] from Yomiuri Shimbun Newspaper.
Unidentified Analyst: [indiscernible] Two questions, please. First of all, about automotive batteries. In Nevada plant, you mentioned that. And so Nevada and Suminoe what are the current status. And in the future, the market trend of the automotive battery or is your view? And how do you respond to the changes in the market? The second question is about the IRA, the transfer. The third party – maybe you can just mention the region or the sector or industry of the third party, please?
Hirokazu Umeda: Well, first of all, about the automotive battery plant as for the plant in the United States, as I said, there have been some adjustment of the production. So in terms of gigawatt or kilowatt, it’s slightly down compared with last year. As for Suminoe Model FX and the production situation of those models has been sluggish or plateau. It’s trending at that level. So concerning that, the fixed cost reduction is something that we are trying to do and to find the new customer is also something that we are trying to do. So U.S. and Japan, both – in both countries, we will be trying to develop our businesses. So as for the automotive battery trend, the future trend, and our view or globally, as you know EV is growing, but compared with the past, the growth rate has slowed down. But if you look – you have to look at the different regions. So we are doing business basically in the United States, PENA plant and Suminoe that is in Japan. So that’s all. So mostly, it is the plant in the United States. So looking at the U.S. market, the growth or growth rate has slowed down or is more moderate than before. But steadily, the customer, the number is growing compared with the last year. So our capacity is being increased a little by little, and Kansas start-up for FY ‘27 or ‘28 with the current capacity that would not be sufficient, so we need to manufacture more. So that is our understanding. So in Q2 and onward, for our automotive battery business, it is mainly for U.S. market. So that’s our view. As for the IRA-related tax credit transfer, of course, we have to consider the counterparty, but this is the tax credit in the United States. So naturally, the company is an American company.
Operator: Next from [indiscernible]
Unidentified Analyst: [indiscernible] Hope you can hear me?
Hirokazu Umeda: Yes.
Unidentified Analyst: Two questions, both related to IRA tax credit. First, the transfer for monetization, investment to Kansas is what you mentioned, particularly, what will be the areas that you will be investing in? That’s my first question. My second question, a very detailed question, I’m afraid. With this transferable, this is for FY ‘24, you said most of the tax credit for FY ‘24 most meaning that some would remain in the form of refundable.
Hirokazu Umeda: As mentioned earlier, first, it will come into our – will come in as a cash. And since this is the U.S. tax credits, it will be used for the in-vehicle battery business in the U.S. It’s hard to say which particular areas, but the state of Kansas is providing us with various subsidies, that’s not enough to pay for everything needed for our factory. So in line with the intent of IRA, we would like to use in areas that will contribute to the energy savings. And most of the amount tax credit from FY ‘24 not all, but the most. The need, demand and supply is the reason for. Now there are three forms of tax credit. One is the refundable, which we elected for which would be around 2 years before the actual payment is made after it’s been filed – tax filed. The second is the deductible that is deductible from the income tax to be paid in the U.S. And the third is transferable. For monetization, there are 3 methods. And although the amount is small for the remaining portion, it will be used for deductible the taxes to be paid by our U.S. entities. That is all.
Operator: We are out of time for the Q&A session. So we would take just one more question from journalists. So last question from journalist Matsumoto-san from [indiscernible].
Unidentified Analyst: Matsumoto speaking. So about the future prospects, I have a question. So in the second half of this year, there will be a presidential election in the United States. So if there is a change of administration, how would that impact your business results in your view?
Hirokazu Umeda: Well, U.S. election, we are not in a position to make any comments on that. What Trump is saying and what [indiscernible] the candidate Harris is saying, they are different from each other, and we understand. And this has already passed as a legislation. So the immediate impact would require the revision of the law and it would take time, and IRA is a wide-ranging legislation. And if you analyze the state that would benefit, I think many of them are Republican states. So when collection is over, we would respond accordingly. So Kansas, IRA, we made a decision without considering IRA and PENA Gigafactory is even older in terms of operation. So we are watching very closely but we need to take appropriate response or measures. So there will be no immediate impact. We do not think. So thank you.
Operator: So that concludes the Q&A session for journalists. We’ll now move to the Q&A session for institutional investors and analysts. Again, we will only be accepting questions in the Japanese slide. We are not accepting questions on the English line. First is Okazaki-san from Nomura Securities.
Yu Okazaki: Okazaki from Nomura. My first question is on air quality and air conditioning. Well, Europe, was weak. It looks like your revenue sales were increasing. And yet profits, at least the profit margin was going down. So could you elaborate on what happened in air conditioning and air quality in Q1? My second question is on Blue Yonder, 9% growth year-on-year on SaaS, S-A-A-S. The slide says that the demand from the customers is getting sluggish. Could you elaborate on that? And what your expectations are for Q2 onwards?
Hirokazu Umeda: For air to water. Air to water and air to air also was mentioned in the business company Investor Day event, which is represented by room air conditioning for the room air conditioners. In China, bit difficult situation. But in Asia and Japan, given a very hot summer days, we are seeing the strong sales, which is pushing up our sales. For air-to-water profit margin it is high and the drop on a year-on-year basis, about 40% drop that is having a major impact on profit through increased sales in air-to-air, the decline in loss in air to water could not be compensated for fully, and that had a net result for Q1, that is for Blue Yonder, SaaS and ARR for that business. If you can look at the appendix portion of our presentation deck, Slide 25, 9% growth, yes, here SaaS ARR annual recurring revenue becoming flatter, you said as for the sales personnel training and enhancing competitiveness, we have had programs for that. Especially starting around the second quarter, we should see the positive effect. The CEO, Duncan, is sharing that information with us and Higuchi san, the CEO of Connect, has confirmed that. So, if you can look at SaaS and our net revenue retention, which is related to the investment made by the customers. Most of the contracts are 3-year contracts and so we are now seeing the updating or the replacements of the contracts that were signed before we acquired the company. And we are trying to increase the affection of SaaS. In other words, the cloud based native cloud based, more transfer. And therefore the contracts with the existing customers are being revisited on premise, meaning the customers on premise are customized or we want to reduce those as much as possible and increase the SaaS portion. And so if you can look at the upper right graph, you can see that’s happening and that is the reason why SaaS ARR may appear to be weak, getting weak. But with the sales force enhancement and the product updates being conducted once every six months for sure, and improved the customer satisfaction. Those programs will be implemented. That answers your questions? Thank you. Next, BofA Securities, Hirakawa San, please.
Mikio Hirakawa: Thank you. Hirakawa from BofA. Two questions please. One point of clarification, energy, and we go Automotive batteries at the plant in the United States or in Nevada. So, operating utilization rate is down from the beginning of the fiscal year. This was within your expectation, is that right? That was my point of clarification and it will not happen in the future, any changes that you can share with us? The second question is about Connect, in Q1, Q1 numbers appear to be a little weak, and this year’s plan. It’s going to be a higher profit, significantly higher. So, I am unable to understand that for example in Q2 and onwards Avionics investment fund being reduced and/or process automation improving pushing up your profits. So, in order for Connect to achieve the target or what kind of factors should we consider or background?
Hirokazu Umeda: Thank you for your questions about energy first. Yes, it is within the expectations at the beginning of the fiscal year. Regionally, this is something that we deal with in Q1 is weak, so that was already discounted for. So, for the full year IRA, of course that we show the number and towards that, we will be progressing. So, as well the lower production, we responded to that. That’s why I have said that earlier. So, that’s about energy. As for Connect, so at the upfront investments in the first half is higher. So, because of that and also in Avionics, it’s the in flight communication we have – we are making some investments and also some concerning factor which is expected at or the airplane manufacturers. The policy about the production, that U.S. authority is looking into the quality issue. So, there are some uncertainties in relation to that. So, as Panasonic Connect as of now, the impact or process automation we have ended the deficit. So, I think throughout the year, for the full year, we want to make good progress. So, thank you. That answered your question?
Mikio Hirakawa: Thank you very much.
Hirokazu Umeda: Next from SMBC Nikko Securities, Takagi [ph] San, please.
Unidentified Analyst: Thank you. Takagi from SMBC Nikko. I have two questions. First, I might have missed it because I was not connected for the first part of your presentation. But you did talk about the actual results compared to your projections by segment. Can you tell us the overall picture and your full year guidance remains unchanged? So, can you explain the reason why you kept it unchanged? That’s my first question. Secondly, related to IRA tax credit cash-in, you said about ¥200 billion. And the project your business transfer cash-in, in light of those two free cash flow, you were assuming a negative, it could possibly turn into positive cash flow. So, can you comment on that for the projector business?
Hirokazu Umeda: EV based 120 something was mentioned, but what about in the amount of cash-in to expect by segment. I did give you the picture on overall basis consolidated basis. IRA transfer costs was not incorporated in our guidance during Q1, actually during the month of July, we agreed with our counterparty that we can talk about that. And back to PL, was not assumed initially, so overall compared to expected total profit, maybe around ¥10 billion, including that ¥5.5 billion, short maybe. But through communication with business companies, of course some are stronger than others. And at current point in time, we don’t have anything. That is certain, the business companies say that they are doable. And we don’t doubt what they – we don’t have reasons to doubt their projections and therefore the full year guidance remain unchanged. When we announced the second quarter results with the better visibility, we should be able to give you an update for the consolidated basis as well as by segment, that’s our expectation. Your second question regarding IRA tax credit, the amount, cash-in amount, well ¥100 billion, a little short of ¥100 billion, which would be a plus to operating cash flow to be recorded during FY ‘25, which is not included in the initial guidance. The cash flow for Q1, ¥800 billion plus operating cash flow recorded last year and a slight increase over that. And that does not include this new element. As for projector business, as is mentioned in our press release for – as of April 1, 2024, that is the case. And therefore in terms of the cash impact, it will be for FY ‘26, the calendar year ending March ‘26, not for FY ‘25, the fiscal year ending March ‘25. In terms of cash, there will be after April 1st, ¥80 billion plus is being assumed. For profit, although you did not ask about that, but I am sure you are wondering about it. So, the profits impact around ¥100 billion profit on sale of business to be recorded in the first quarter of FY ‘26, probably that is our current projection. That is all.
Unidentified Analyst: Thank you.
Hirokazu Umeda: Thank you very much. Next from Citigroup Securities, we have Mr. Ezawa.
Kota Ezawa: Thank you. Ezawa speaking from Citigroup Global Markets, I have two questions. First is about batteries. Earlier you said that because of the customer, the production has been reduced, but it will recover. But in Q2, if there is a recovery as of July, you have confirmed the recovery trend, or is that something that you can say also about the batteries, the price revision ¥13.5 billion lower profit, I think there was analysis. And what is the impact of the foreign exchange rate? I think that the price impact here it shows in yen, so ¥13.5 billion, what is the impact of the foreign exchange? So, that’s my first question on battery.
Hirokazu Umeda: Well, first of all, from Q2, the recovery. It’s not from the beginning of the Q2, but as of now, maybe from August, we will start to see some recovery. So, the orders are being accumulated. So, from our side, the protection we want to make sure that we have a good preparation and the customer, when the batteries are available, they can sell them. That is the situation in the United States. So, in Q2, we think that we can confirm the recovery and in Q3 and onwards. I think that we can just offset the adjustment.
Kota Ezawa: And ¥13.5 billion, which number is that in Q1 results?
Hirokazu Umeda: Yes. So, in Q1, the results I see the price revision ¥13.5 billion, so this is price revision. This is negative. Well, this is excluding the ForEx impact. So, ForEx impact is shown on the right hand side or second from the right. We consolidate that impact. So, on the left hand side those factors this is the output of Apple. So, on the constant currency basis, we are showing, so the price revision, ForEx impact is not included.
Kota Ezawa: Thank you. So, ¥13.5 billion out of that energy, here it says negative, how much is that more energy? The price vision and the raw material are included and so through the price revision it’s more than ¥20 billion negative.
Hirokazu Umeda: Originally, direct raw material cost increase or reduction, it has stabilized and we are seeing that. So, lower sales is something that we see, but the raw material price are low, coming down is also included. So, I think that it’s comparable, sorry to be taking too much long, but the projector business even announced the sale of this. So, as a group, the selection and prioritizing, so projector business excluding that from the consolidated basis based upon the background, other businesses up.
Kota Ezawa: Probably it seems that that there are many other businesses which also need to be deconsolidated. So, are there any out – the outlook for other businesses also being deconsolidated, or concerning that question, it has to do with the portfolio of management.
Hirokazu Umeda: There are three factors or way of thinking and we had talked about that and whether it’s consistent with what we are trying to do and whether we are competitive and whether we are best owner or not. So, concerning those three this projector business. Media Entertainment, as we said in the press release, with the help of the ORIX or this industry. How to do the entertainment in the virtual world and the software and also the equipment requires a lot of investments. So, because of those, from the perspective of being owner, we made this decision. So, as we mentioned in the past, just happens that this partnership, about this partnership that we announced. As for the portfolio management right now, we are proceeding with the various discussions. And as soon as we are ready to make the announcement, of course we have to consider the counterparties. So, sometimes we are unable to make the announcement right away. So, we would like to make a steady progress in that direction.
Kota Ezawa: Thank you.
Hirokazu Umeda: Thank you. We are getting close to the end time. Maybe one last question, from Mizuho Securities, Nakane San.
Yasuo Nakane: Thank you. This is Nakane. Can you hear me?
Hirokazu Umeda: We are hearing noise.
Yasuo Nakane: Can you hear me?
Hirokazu Umeda: Yes.
Yasuo Nakane: Thank you. Two questions. First, Fi solution and office automation, Y-on-Y increased sales and profits achieved earlier than expected. By looking at the demand situation, should we expect ups and downs going forward, or can we expect sales, profit to continue to increase, albeit limited? That’s my first question. My second question – my first question is for your business and market overall. The second question, the holdings, how do you expect to make sure that what is born by a different business companies could be kept low, it was hardly audible. As per FI solution industry segment and process automation is Connect segment. The situation is slightly different between the two as for Fi solution, especially server motor in China, it’s returning, we saw a recovery in Q1, can we expect this to continue, can we say that it has bottomed out?
Hirokazu Umeda: No, that is not our observation. The labor saving investments in China, we expect will continue to be rather sluggish. So, Fi solution in industry, Q1 was strong, was good, but we don’t expect it to go down, but we don’t expect it to recover grow strongly either. Regarding process automation, the backlog, order backlog has been declining on a continuous basis, although we are not showing that in our any of our slides.
Yasuo Nakane: At the end of last fiscal year, January, February, March. Since around that time, we are seeing demand or orders increasing for what applications?
Hirokazu Umeda: Smartphone, mainly recovery taking place in process automation that is making a contribution. And process automation had a very difficult year, last year. But looks like it has hit the bottom or we are seeing signs of hitting the bottom. So, that’s the difference between the two businesses. And your second question for automotive. True, that’s a pretty big business. As you correctly described, it will be a common issue for the group overall and we will be implementing the programs that we are studying the best way forward. We do consider this to be an issue and so we will make sure we implement the best, that it’s possible during FY ‘25, that’s our current position. I hope that was helpful.
Yasuo Nakane: Yes. Thank you.
Hirokazu Umeda: Thank you very much. With that, we would like to end the Q1 financial results earnings call for fiscal ‘25. Thank you very much for your joining and for your participation.